Operator: All participants, please standby, your conference is ready to begin. Good morning, ladies and gentlemen. And welcome to the AltaGas Limited Conference Call. I would now like to turn the meeting over to Mr. Jess Nieukerk, Director of Finance and Communications. Please go ahead, Mr. Nieukerk.
Jess Nieukerk: Thank you. Good morning, everyone. Welcome to AltaGas’ First Quarter 2014 Conference Call. Speaking today are David Cornhill, Chairman and Chief Executive Officer; David Harris, Chief Operating Officer; and Debbie Stein, Senior Vice President, Finance and Chief Financial Officer. After some formal comments this morning, we will have a question-and-answer session. Before we begin, I would like to remind you that certain information presented today may include forward-looking statements. Such statements reflect the corporation’s current expectations, estimates, projections and assumptions. These forward-looking statements are not guarantees of future performance and they are subject to certain risks which could cause actual performance and financial results to vary materially from those contemplated in the forward-looking statements. For additional information on these risks, please take a look at our annual information form under the heading Risk Factors. I will now turn the call over to David Cornhill.
David Cornhill: Thank you, Jess. Good morning, everyone. Just three days ago we achieved a major milestone at Forrest Kerr and today we reported record financial results and a dividend increase of over 15%. For the quarter, our normalized earnings were $0.60 per share, an increase of 13% over the first quarter 2013. Normalized EBITDA increased by 23% to $179.2 million compared to first quarter of 2003. On a trailing 12-month basis we continue to hit record financial results. We achieved $542 million in normalized EBITDA and $410 million in normalized funds from operations. Our results continued to reflect the strength in our operations and positive growth. In our Gas segments volumes processed were significantly higher and we benefited from Petrogas’ strong contribution. Our utilities benefited from the never-ending cold weather, strong rate base growth and in the case of SEMCO a favorable foreign exchange rate. In Power we benefited from Blythe but saw higher PPA costs and lower power prices in Alberta. Blythe had a major turnaround in March. As part of the commissioning Forrest Kerr, we have begun to flow water through the tunnel and soon through nine turbines. This is a significant achievement. Based on the strong cash flow, our low payout ratio and the pending startup for Forrest Kerr, the Board has increased the dividend by $0.02 per share per month for annual dividend of $77 per share or 15.7% increase in the dividend. On the growth front we continue to make progress and have many potential growth opportunities. Over $1 billion is already secured with over $600 million being invested in 2014 and ‘15. When it comes to our investment in utilities in the Alton natural gas storage project our Cold Lake expansion, regional LNG, JEEP modifications and de-bottlenecking, Cogen III at Harmattan and the completion of the Northwest hydro projects. We continue to make progress on additional growth in the Power and Gas business. In Power, we’re preparing to bid in the RFP process in California for the expansion of our Blythe facility. And in Gas, we are in discussion for over approximately 1 Bcf a day of new processing capacity. The amount of potential growth has not been seen since the late ‘60s. David Harris will speak more of these opportunities. We also continue to make excellent progress on our LPG export initiatives. Our goal is to reach 60,000 barrels per day of export capacity by the end of the decade. With Petrogas acquisition of the Ferndale terminal, we now have all the pieces required to get LPG export off the ground. We expect to have the first LPG export shipment in Q2 of 2014. It will take a few years to ramp up the export volume. The facility can handle export and import of up to 30,000 barrels a day. We continue work on LPG export from the BC West Coast and this is where we target additional 30,000 barrels a day. David Harris will provide an update on this, as well as the LNG initiatives. Over the past two years, we’ve delivered significant and profitable growth for our shareholders. We expanded our Gas segment significantly with Gordondale, Co-Stream and Blair Creek. We have double our power generation portfolio with Blythe and we have increased our utility rate base to $1.4 billion. We’ve increased our dividend by over 20% and we have delivered on our goal of greater than 10% growth in earnings and cash flows. With the strong start to 2014, we expect a good year consistent with expectations. Our solid operations in addition to the Forrest Kerr and Volcano full year -- and the full year contribution of Petrogas and Blythe are expected to add significant long-term value. I will now pass the call over to David Harris.
David Harris: Thank you, David, and good morning, everyone. Operations across our three business segments performed well in the first quarter. Our Gas business has a record quarter, normalized operating income from our Gas business increased 71% to $47.5 million, compared to same quarter 2013. Our Gas business benefited from the acquisition of Petrogas, higher frac exposed volumes from EEEP and Younger, and higher realized frac prices of $30.38 per barrel compared to $29.57 per barrel in Q1 2013. In the quarter we also continue to benefit from the ramp-up in volumes in liquid-rich areas. Total volume process increased by over 190 Mmcf per day to 1,573 Mmcf per day compared to Q1 2013. The increase was driven by higher volumes at Gordondale and Co-Stream which operated close to design capacity. Results from our Gas segment were partially offset by the sale of our energy management business and the Ante Creek facility as well as higher cost to meet delivery commitments as a result of curtailments to gas deliveries during the peak flows which occurred in the quarter. Normalized operating income from our power business was $15.9 million. The average realized power price for the quarter was approximately $69 per megawatt hour compared to approximately $73 per megawatt hour for the same period last year. In Alberta, generation volumes are similar to last year. However, this was combined with higher PPA cost and lower power prices. The current forward curve for the Albert power prices show some softening, reflecting new generation in the Alberta power market. Weaker Alberta power results were partially offset by the contribution from Blythe. Blythe’s contribution in the quarter was for only two months to a plan turnaround, which started on March 1st. The turnaround was completed successfully ahead of schedule and below our budget. And Blythe was back up and running in early April. Our utility segment continues to deliver solid results. Operating income was approximately $81 million, an increase of approximately 24% over Q1 2013. Higher earnings were driven primarily by colder weather quarter-over-quarter in Michigan, Alberta and Nova Scotia as well as due to favorable foreign exchange rates. On a weather-normalized basis, operating income was $74.2 million compared to $65.5 million in the same quarter 2013. Let me now turn to provide an update on some of our projects under development. At our Northwest projects, construction on Forrest Kerr is nearing completion. The wear, intake and descending areas have all been commissioned. We start the flow water into the tunnel on April 28. Water will gradually fill the power tunnel in preparation for full speed, no load testing on the turbines. The NTL continues to progress and once it is available, commissioning to tie Forrest Kerr into the transmission line will begin. We continue to expect commercial operations in mid 2014. We have made significant progress at Volcano. The tailrace is now complete with no further in-river work required. The turbine assembly began in April and we have commenced the penstock installation. We remain on track to bring Volcano in service later this year. At McLymont Creek, work on the powerhouse foundation is complete. Excavation of the power tunnel is 65% complete and clearing of the intake access road is 85% complete. McLymont remains on track to be in service in mid-2015. Our other projects are also progressing well. At our Alton Storage project in Nova Scotia, we have been working on the regulatory and permitting filings and avoiding purchase orders to secure equipment for construction. We continue to work with Heritage Gas to secure storage contract which require regulatory approval but we will continue to progress while these things come together. We remain on track to start construction in June of this year. We’re also continuing active negotiations for our JEEP expansion in Alberta. And we continue to advance our first regional LNG project in Dawson Creek. With respect to our other growth initiatives, as David mentioned increased producer activity in WCSB is driving significant demand for new infrastructure. We are looking at a number of potential projects and we are in an ongoing discussions with producers. We have feasibility studies underway and in some cases, we have even moved to pre-FEED studies. We expect to have more information on these opportunities later this year. On LPG, in addition to Ferndale, the AltaGas-Idemitsu joint venture continue to evaluate the pre-feasibility and pre-FEED studies for the construction of a greenfield LPG Export Terminal for the BC West Coast. We’re in the site selection process. On the market front, we continue to dialogue with many potential offtakers and suppliers to obtain commercial under pending for the project. This project we coordinate with our plans for Ferndale and we expect to have more information on this in Q3. The joint venture also continues to advance the LNG export initiative. We continue to work with the various parties to support the CCAA proceedings for the Douglas Channel LNG project. The various parties continue to work on completing term sheets which may allow the project to be restructured under CCAA in accordance with the terms which have been substantially agreed to by all of the secured creditors. We are targeting May 5th for this and if that date is met, we will start to develop definitive agreements. We will continue to update the market with material developments. We also continue to focus on our Triton LNG export project. On April 16th, the NAB approved our export application for 2.3 million tonnes of LNG per year. Our export project is dependent on the PNG pipeline expansion. Excuse me, the pre-FEED study is ongoing and we see many opportunities for additional shippers to backstop development cost. That concludes my prepared remarks. I’ll now pass the call over to Debbie.
Debbie Stein: Thank you, David and good morning everyone. Our first quarter results were strong. We achieved normalized earnings of $73.7 million or $0.60 per share compared to $55.5 million or $0.53 per share in the first quarter 2013. Normalized EBITDA for the first quarter increased 23% to $179.2 million. Funds from operations were $129.8 million or $1.06 per share compared to $122.4 million or $1.16 per share in the same period 2013. The lower funds from operations per share for the quarter is primarily due to the timing of receipt of distribution from investments that are equity-accounted. Assuming cash flow was the same as equity earnings, FFO would be $141 million or $1.16 per share, compared to $116 million or $1.10 per share for the same quarter last year. Our payout as a percentage of normalized FFO for the trailing 12 months ending March 31, 2014 remains conservative at 45%. Based on the dividend increase announced this morning, we expect to remain comfortably in our range of 40% to 50% of FFO for 2014. On a GAAP basis, net income applicable to common shares for the first quarter 2014 was $39.9 million or $0.33 per share compared to $49 million or $0.46 per share for first quarter 2013. The GAAP earnings include an after-tax gain of $9 million from the sale of assets including Ante Creek, a non-cash after-tax provision of $36.8 million related to some of the assets we acquired with the Taylor NGL Limited Partnership transaction in 2008 and mark-to-market accounting and the cost of early redemption of the medium-term notes. In the quarter, NOVA Chemicals exercised an option to purchase the EDS and JFP liquids pipeline in 2017. The exercise of the option will not impact earnings and cash flow associated with these assets until early 2017, when the proceeds for the purchase will be received in ownership changes. Interest expense for first quarter 2014 was $25.3 million. This is higher than same period last year as a result of higher debt balances from the addition of new assets, partly offset by higher capitalized interest of $9.7 million and lower average borrowing rates. In first quarter 2014, we reported an income tax expense of $16.9 million compared to $21 million in same quarter last year. The income tax expense includes a tax recovery of $12 million related to the items normalized in the quarter. For the three months ended March 31, 2014, net invested capital was $94.7 million, the majority of which was related to the construction of the Northwest projects and includes approximately $27 million received on asset disposals. For the full year 2014, we expect our capital expenditures to remain in the range of $400 to $500 million. In the quarter, we spent $2.4 million on maintenance CapEx. Our balance sheet remained strong with debt to total capitalization of 52.5%. We’ve been active on the financing side. In January, we issued $300 million in notes, a $100 million of which was our first-ever 30-year MTN. We also successfully completed a U.S. $200 million medium-term note offering in March and we early redeemed our 7.42% MTN in February instead of April. Our average debt maturity is 6.7 years and continues to be very manageable. We will continue to balance our long-term and short-term financings, as well as floating and fixed-rate debt in order to execute a disciplined financing strategy that supports our business strategy. And with that, I will turn the call over back to Jess.
David Cornhill: Thank you, Debbie. Operator, we will now go to questions and answers, please.
Operator: Thank you. (Operator Instructions) Our first question is from Linda Ezergailis from TD Securities. Please go ahead.
Linda Ezergailis - TD Securities: Thank you. I have a question with respect to your final investment decision timing on your Western Canadian LPG and Triton projects. Is it reasonable to assume that the Triton decision would come with your PNG looping decision, which I think in your write-up you are anticipating is the end of 2015?
David Cornhill: I think that’s fair assumption.
Linda Ezergailis - TD Securities: Okay. And then for the LPG Western Canadian Q3 this year?
David Cornhill: The Ferndale gives us a lot more flexibility. I would say it’s late this year or next year as we work through the process.
Linda Ezergailis - TD Securities: Okay. That’s helpful. And with respect to the NOVA payment, what will be the payment in 2017 and what is the earnings contribution of EDS and JFP?
Debbie Stein: The proceeds are about $67 million in 2017. And the current contribution is less than 2% of our current operating income.
Linda Ezergailis - TD Securities: That’s helpful. Thank you.
Operator: Thank you. Our next question is from David Noseworthy from CIBC. Please go ahead.
David Noseworthy - CIBC: Hi. Good morning and congratulations on a good quarter. It’s nice to see a dividend increase and management’s and I guess the Board’s faith in your cash flows.
David Cornhill: Thank you.
David Noseworthy - CIBC: And maybe just a little bit more on your LNG opportunities there. Can you talk about what elements of the Douglas Channel LNG project that AltaGas is looking to own, subject obviously to completion of the term sheets?
David Cornhill: Yes. David, we are looking to own aspects of the shore facility, the [fifth] (ph) facility as well as the barge.
David Noseworthy - CIBC: Okay. And assuming everything goes through as you expect, how would acquiring those assets speed up your development timeline for LNG?
David Cornhill: We are hopeful that with the capacity already available on PNG line, there would be no requirements for any significant pipeline adjustments, so we could be off late ‘16 early ‘17 with LNG production.
David Noseworthy - CIBC: Okay. So that’s a good chunk earlier than perhaps otherwise, okay.
David Cornhill: Yeah.
David Noseworthy - CIBC: And just on the LPG and maybe to expand a little bit on what Linda was asking, is there a reason why you’re looking at building another facility in Canada, as opposed to expanding your recently acquired facility at Ferndale?
David Cornhill: We think the diversification of two locations is advantageous for us both long-term as well as there is a restriction on Ferndale with respect to. We don’t believe that we can go to 60,000 barrels at that location by itself.
David Noseworthy - CIBC: Okay, thank you. And then last question and I’ll go back in the queue. But with regards to the sale of the Ante Creek facility, it seems like that that’s a long-life gas processing plant in Western Alberta that would be consistent with your strategic direction. Why sell that facility?
David Cornhill: There wasn’t the diversification of land ownership around that facility that would allow us to maximize the value as a midstreamer.
David Noseworthy - CIBC: Okay. Thank you very much. Those are my questions.
Operator: Thank you. Our next question is from Carl Kirst from BMO Capital Markets. Please go ahead.
Carl Kirst - BMO Capital Markets: Thanks. Good morning, everybody. Nice quarter as well. Just maybe a clarification on with respect to Douglas Channel and understanding where we are in the negotiations. But to the extent that this does reach fruition, you guys are able to step in. I’m assuming the Golar contract is not going to be with that. And I guess maybe the question is, will it be up to you all and Idemitsu to effectively market that trend?
David Cornhill: The consortium that we are working with on this is with EDF and Exmar and ourselves, as a joint venture owner. So we do have lots of capability to market LNG worldwide with EDF.
Carl Kirst - BMO Capital Markets: Okay. So it wouldn’t necessarily be a firm take or pay, it would be more sort of viewed as potentially sort of a global marketing opportunity, shall we say?
David Cornhill: I think as they say more at 11, if I could.
Carl Kirst - BMO Capital Markets: Okay. Understood. And then maybe just shifting gears entirely down to California with Blythe. I just wanted to better understand the RFP process, is that specifically for the generation, does that open the possibility of additional transmission as well, or is that up to you all as far as how you want to package your project?
David Cornhill: I think it could be all of the above. It will depend on the makeup of the individual RFPs to come out. We would expect to see RFPs from Southern California Edison as well as San Diego Gas & Electric and potentially others. And depending on the shape of those RFPs, Carl, it would dictate how we would turnaround and structure our offering into the RFP process. But we are very well situated with our location in Blythe not only just on a generation basis, but to your earlier point I think it also possibly come with maybe enhanced transmission in the area as well.
Carl Kirst - BMO Capital Markets: David, is there a sense of -- and I think maybe this was discussed back when Blythe was first purchased last year, but do you have a sense of what the -- maybe not even for this go round, but just over the next perhaps five, ten years, what the investment potential is from a transmission front?
David Cornhill: That’s tough to speculate on, but I would use the word significant. It depends on the RFPs and the location of the generation as it compares to congestion and where they need to stream the power to. They will try to stay away from environmentally impacted areas as it relates to attainment zones and stuff. So it would be a little premature to turnaround and speculate on actual dollar value on transmission.
Carl Kirst - BMO Capital Markets: Understood. Appreciate the color, guys. Thank you.
David Cornhill: Thank you.
Operator: (Operator Instructions) Our next question is from Robert Catellier from GMP Securities. Please go ahead.
Robert Catellier - GMP Securities: Hi, good morning, and congratulations on Forrest Kerr. It sounds like it’s almost done. I had a question on BC LNG. With the transaction for the Pacific Northwest and now your sanctioning of the investment in Dawson Creek for the regional LNG, can you give us an update on the -- your view of BC tax and regulatory policy? Our previous conversations seemed to indicate you saw still quite a bit of certainty there. Have things moved along?
John Lowe: I think there is a greater certainty -- it’s John Lowe by the way. There is some greater certainty on BC’s LNG tax policy and we are still working with the BC government on that.
Robert Catellier - GMP Securities: Okay. Just on the Ferndale and piecing together the LPG export opportunity. I’m wondering how that might impact the frac spread hedging strategy.
Debbie Stein: At this particular time, Robert, we really don’t see any impact to our strategy as it relates to frac hedging.
Robert Catellier - GMP Securities: Okay. And then there was a reference in the MD&A about the impact of higher cost from storage, potentially impacted by low storage levels. And I’m wondering if that’s something that was just vagaries of an extremely cold winter, or if it’s something that maybe strategically needs to be addressed with some additional storage capacity?
David Cornhill : No. We believe its probably the exception not the norm to come and we’ve also deployed some countermeasures here recently that will mitigate that in the future if it did reoccur and we expect to claw back the loss here as we work through the year.
Robert Catellier - GMP Securities : Okay. Thanks. That’s it from me.
Operator: Thank you. Our next question is from Robert Kwan from RBC Capital Markets. Please go ahead.
Robert Kwan - RBC Capital Markets: Good morning. Reference just to the higher PPA costs, I’m just wondering if you’re able to quantify what that was and also what specifically that was attributable to?
David Cornhill : Sure. Its really utilization situation where there was high availability, but it was under underutilized based off of megawatt generation, so you pay for that higher availability hence resulting in the higher cost on the PPA.
Robert Kwan - RBC Capital Markets: So was that just situation where you decided to dispatch it down?
David Cornhill : It was a situation dictated by the market conditions.
Robert Kwan - RBC Capital Markets: Okay. Just on the equity distributions and just wondering if there’s some explanation. I know you’d mentioned Petrogas, I think is on a Q2, Q4 schedules, that was part of it. But you still trail the earnings quite meaningfully and I’m just wondering, is there something going on at Sun B or is there some other explanation why the cash is trapped, because I think that was also a big difference in Q4?
Debbie Stein: Robert, it’s really timing.
Robert Kwan - RBC Capital Markets: Okay.
Debbie Stein: There’s nothing, yeah, there is nothing more to it than just timing of when we get the cash.
Robert Kwan - RBC Capital Markets: And so is there something holding, like I know in Q1, I think, you make your greenhouse gas payments? But you’ve been trailing now for two quarters? Is the partnership moving to something more like a six-month distribution?
Debbie Stein: No, no. Nothings changed.
Robert Kwan - RBC Capital Markets: Okay. So is there maybe, let’s put this way, is there effectively an accrued distribution i.e. should we be seeing outsized distributions in either Q2 through Q4?
Debbie Stein: You would it in Q2, yes.
Robert Kwan - RBC Capital Markets: Okay. Are you able to quantify how much you’re behind at this point?
Debbie Stein: Not at this point, no.
Robert Kwan - RBC Capital Markets: Okay. Maybe just a last question, just on power and just the hedging, I know the basis for the description has changed? But it looks like the hedge percentages are still lower than what we’ve seen in recent quarters. I’m just wondering, is this just because you’re not seeing any value in the curve or is there something else going on?
David Cornhill: No. Partially the curve has softened a little bit, but we are not offering much. We’re within above 5% of we were at this time last year, probably, a little last three years and probably within a couple of dollars of where we are around an effective hedge price.
Robert Kwan - RBC Capital Markets: Is it fair to say that you’re still front-end loaded then on the hedges?
David Cornhill : That’s correct. And our trend looks fairly consistent with Q2, Q3, this year as in previous years and we usually pick up as we get towards the tail-end of the year and get into the winter months.
Robert Kwan - RBC Capital Markets: Okay. That’s great. Thanks very much.
Operator: Thank you. The next question is from Steven Paget from FirstEnergy Capital. Please go ahead.
Steven Paget - FirstEnergy Capital: Thank you. On Triton LNG, maybe you comment on progress made toward finding a buyer for the gas.
David Cornhill: There has been a lot of discussion as just in Japan earlier last month and lots of interest for buyers at this point, hopefully within this year we will see some additional movement. We’ve been focused on resolving the Douglas Channel and have not made any commitment to the next level yet.
Steven Paget - FirstEnergy Capital: Thank you, David. Question on Alberta power, do you think the start of the Shepard project in early 2015, could see the Alberta market become more of a gas-linked market?
David Cornhill: Certainly, that is a potential.
Steven Paget - FirstEnergy Capital: And how would this affect AltaGas?
David Cornhill: Not materially. We’ve already seen with the announcement of Shepard earlier this year, as far as how they trending to test power. The market probably moved about $0.50. We think the markets picking up a fair amount of Shepard coming on and then when it actually does hit the grid and starts going into test power and then eventually commercial operation that maybe a little bit more of a move but nothing substantial, compared to the full in curve that we’re seeing now.
Steven Paget - FirstEnergy Capital: Well. Thank you, David. Those were my questions.
David Cornhill: Thank you.
Operator: Thank you. (Operator Instructions) Next question is a follow-up question from David Noseworthy from CIBC. Please go ahead.
David Noseworthy - CIBC: Hi. Just a quick question on the Blythe maintenance. Reading through the MD&A, $12 million was expensed this quarter, $28 million is expected for the full amount. So do we see that $16 million expense come through in Q2? Is that the way to think about it?
Debbie Stein: No, David, the $16 million or -- yeah, the $16 million or so is redeployed. You’ll recall when we bought the facility, we bought spare parts with it and so it’s really taking it out of inventory and putting it to the asset.
David Noseworthy - CIBC: Okay.
Debbie Stein: Well, the cash amount is about $11 million.
David Noseworthy - CIBC: Okay. So we’ve basically seen the cash amount already come through?
Debbie Stein: Yeah.
David Noseworthy - CIBC: All right. That’s helpful. And then, Debbie, just while we’re on it, you mentioned the maintenance CapEx for the quarter, but I missed that. Could you repeat that?
Debbie Stein: It was $2.4 million.
David Noseworthy - CIBC World Markets : $2.4 million. Okay. Great. Perfect. And then one other question on the gas side of the equation. Dave, I was wondering if you could talk about the timing of when we might hear something more concrete regarding the gas processing opportunities
David Cornhill: I would see you will see more color from our Q2 call and further as we get into Q3.
David Noseworthy - CIBC: Perfect. Thank you very much.
Operator: Thank you. Mr. Nieukerk, we have no further questions at this time.
Jess Nieukerk: Perfect. Thanks you. I would like to thank everybody for joining us today. That concludes our AltaGas’ first quarter 2014 conference call. And we are available for any follow-up questions after the call. Thank you.
Operator: Thank you. The conference call has now ended. So, please disconnect your lines at this time and we thank all who participated.